Operator: Good morning. Welcome to GoHealth's Fourth Quarter and Full Year 2023 Earnings Call. My name is Michelle, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Following the prepared remarks, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded. I would like now to turn the conference over to John Shave, Vice President of Investor Relations. Please go ahead.
John Shave: Thank you, and good morning. Welcome to GoHealth's fourth quarter and full year results call. Joining me today are Vijay Kotte, Chief Executive Officer; and Jason Schulz, Chief Financial Officer. Today's conference call contains forward-looking statements based on our current expectations. Numerous known and unknown risks and uncertainties may cause actual results to differ materially from those anticipated or projected in these statements. Many of the factors that will determine future results are beyond the company's ability to control or predict. You should not place any undue reliance on any forward-looking statements, and the company undertakes no obligation to update or revise any of these statements, whether due to new information, future events or otherwise. Earlier today, we issued a press release containing our results for the fourth quarter and full year 2023. We have posted the release on the GoHealth website under the Investor Relations tab. In the press release, we have listed a number of risk factors that you should consider in conjunction with our forward-looking statements. We encourage you to consider the other risk factors described in our Form 10-K and Form 10-Q reports filed with the Securities and Exchange Commission for additional information. During this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measures and reconciliations are set forth in the press release. You may also refer to the investor presentation posted to the Investor Relations section of our website for reconciliations of non-GAAP measures to the most comparable GAAP measures discussed during this earnings call. I will now turn the call over to GoHealth's CEO, Vijay Kotte.
Vijay Kotte: Thank you, John, and good morning, everyone. I'm pleased to share with you today our 2023 results, which reflects significant year-over-year improvement in revenue, adjusted EBITDA, and operating cash flow. The shift to the non-agency operating model continues to drive cash generation. Our consumer centric focus enables our evolution from enrollment to engagement with trust as the foundation. We provide guidance and insight to Medicare consumers in a landscape marked by confusion and uncertainty. Over 65 million people in the United States are eligible for Medicare and about half of them are on Medicare Advantage plan. One-third of Medicare beneficiaries live in accounting with more than 50 plans available to choose from. Navigating these options can be confusing and stressful. We are proud that our team helped over 2 million consumers assess their benefit options in 2023, leveraging our proprietary Encompass workflow, including our PlanFit tool and PlanFit Checkup. Backed by analytics from nearly 30 million consumer touch points and machine learning technology, our proprietary PlanFit tool helps GoHealth's licensed agents match consumers to the best plan for them based on their profile and priorities. During the fourth quarter 2023, we announced the launch of PlanFit Checkup. PlanFit Checkup removes the stress and enhances the experience for consumers shopping for a Medicare Advantage plan. As we previously shared, there are three consumer outcomes for a PlanFit Checkup. One, we enroll a consumer in a new plan because it's the best thing for their needs. Two, we tell the consumer about a better plan and they choose not to switch. Or three, we reassure the consumer that they are in the best plan for their needs and no enrollment takes place. Importantly, GoHealth agents who complete a PlanFit Checkup are compensated regardless of whether the assessment results in an enrollment. In the Q4, we performed over 300,000 PlanFit Checkup’s. We enrolled over 200,000 of these consumers into a better plan option for their needs. Over 100,000 additional consumers were told they were on the best plan already and we did not enroll them in a new plan. We provided this peace of mind to the consumer whether we already had a relationship with them and more importantly, when we did not have an existing relationship with them, thus building and reinforcing trust in each and every instance. During 2023's annual enrollment period, we faced the best test of the integrity of the PlanFit Checkup experience. Our marketing initiatives worked as planned. Our agents showed up, worked hard, and took more opportunities per day than ever before. However, from a health plan product offering standpoint, this AEP was different than we have previously seen. An analysis from Milliman revealed that for the first time in recent years, benefits for Medicare Advantage plans stayed relatively flat year-over-year. This led to a market environment with minimal product differentiation, providing few incentives for consumers to switch plans. The traditional enrollment centric broker model might have still switched consumers to new plans with similar benefits or even subpar benefits to get a commission, but we chose to honor the integrity of our PlanFit Checkup process and the investment in trusted relationships with consumers and only recommended a change when there was a justified reason to do so. With our high integrity process, in 2023 we expanded our market leadership and continue to be a leading producer of Medicare Advantage policies for our primary health plan partners. We believe our Encompass transformation is working. As a reminder, we launched the Encompass workflow in 2022. We are now operating at scale with all key partners. With over 75% of our employed agent submissions in Q4 flowing through the Encompass workflow, we have observed a market increase in submission quality as seen by lower complaints and CTM rates. Our strategic shift has significantly impacted revenue composition. Over 50% of revenue is now generated from the non-agency line, surpassing our traditional agency line or lifetime value revenue. Leveraging the Encompass workflow and adjustments to our LTV revenue recognition process has led to a stabilized back-book asset valued just under $900 million net of our constraint reserves. This stability is evidenced by the absence of a Lookback Adjustment for the first time in several years. While we observed positive retention trends in late 2023, we have opted not to adjust LTV positively at this time. Underlying that approach is our expectation that there will be benefit disruptions for the 2025 benefit year, potentially leading to more switching. We're investing in long term trusted relationships and not just trying to maximize the short term return of an enrollment. We believe this is not only the right thing to do, but also the right thing for the business and the right thing for health plans. It is in the best interest of the consumer and 100% in line with what CMS is looking for from brokers. We are excited about the brand and proof points we are establishing and the proprietary tools, tactics, and incentives we have built. We recognize that health plans are facing regulatory changes for Medicare Advantage that may impact benefit investments. There is no question that Medicare Advantage continues to have a strong value proposition for Medicare eligible consumers. We expect to see more shopping and likely more switching as uncertainty on benefit stability appears probable in the upcoming AEP. More than ever, consumers will need to find a trusted advisor to help them navigate the volume of options and the impact of benefit changes, and we believe GoHealth is that trusted advisor. Instead of providing specific 2024 guidance, we will share our general expectations for several key areas of our financial performance. First, we expect submission volume to grow in line with the overall Medicare market. Second, we expect our revenue to be flat year-over-year with incremental operating efficiency resulting in modest margin expansion. Finally, cash flow from operations is expected to be flat to slightly up as we continue our transition into the Encompass model and shift to non-agency revenue. There are a handful of market factors that could influence our performance in the year. First is the final rate notice on commissions impacting 2024 AEP. Second is the final 2025 marketing rule from CMS impacting 2024 AEP. Third is the degree to which there is health plan product and benefit differentiation between 2024 and 2025, which will indicate the amount of switching we should expect. Fourth is marketing efficiency within this election season. And finally, there is a relative health plan competitiveness and the effect on planned mix. Any of these factors alone or combined could significantly affect our performance for the full year 2024. We expect these key variables to become clear throughout the year with some of the most material remaining unknown until the early part of Q4, right before and during AEP. Our strategic and long term outlook remain resolute, driven by a commitment to transforming the consumer healthcare journey. I am extremely proud of our team as they navigated through an important and transformative year punctuated by a unique AEP. They rose to the occasion, embraced plan fit, and delivered peace of mind through our compelling consumer value proposition. With that, I will turn it over to Jason to detail our financial results.
Jason Schulz: Thank you, Vijay. As we review our performance for 2023, I'm pleased to share that GoHealth has demonstrated financial and operational strength. One of our primary goals in 2023 was to continue to improve our operating cash flow. We delivered on this objective with $109 million of cash flow from operations, a nearly 80% improvement from the $61 million in 2022. We ended the year with $90 million of cash on hand. In addition to our strong cash flow, we generated significant improvement in revenue and adjusted EBITDA. Our journey through the year has been marked by substantial improvements across key financial metrics, underlying the effectiveness of our strategic initiatives and the resilience of our business model. We reported revenues for 2023 of $735 million, an increase of $104 million as compared to $631 million in 2022, a 16% improvement. As a reminder, 2022 revenue included a $276 million Lookback Adjustment that reduced revenue as a result of an actuarial review of our back-book. As Vijay noted, we did not record a Lookback Adjustment for 2023, the first time since 2020. The work we have done with our Encompass model to derisk the business from our agency revenue has resulted in higher quality revenue and a strong balance sheet. Our adjusted EBITDA, excluding non-Encompass BPO, was $73 million for the year, a 78% improvement from $42 million before the Lookback Adjustment in 2022. This increase underscores our operational improvement and our focus on sustainable profitability. Another way to look at our results is on a cash adjusted EBITDA basis. In 2023, we generated $142 million of cash adjusted EBITDA, which is up from $98 million in 2022 and a negative $301 million in 2021. Cash adjusted EBITDA is simply taking our reported adjusted EBITDA plus the year-over-year change and our net contract asset. If the net contract asset has gone down, this is a result of higher cash collections from our back-book and the inverse is true if the net contract asset has increased year-over-year. We believe that cash adjusted EBITDA is a helpful measure of our business as it neutralizes the impact of the LTV estimates related to future years. As I mentioned, 2023 saw us achieving a robust cash flow from operations of $109 million, up from $61 million in 2022. This $48 million increase is a testament to our disciplined cash management and our successful execution of our operational strategies. In the first quarter of 2024, we successfully negotiated an amendment to our debt agreement, adjusting the leverage ratio of requirements for the duration of the loan facility. We will focus on refinancing our debt over the next few months as we aim to optimize our debt structure. We believe this amendment provides additional flexibility to support this goal, while continuing to invest in the business for future growth. In addition, we have committed to a $50 million term loan paydown in early Q2 and an additional $25 million paydown in early Q4 of this year, which we plan to fund from our strong balance sheet and liquidity. More information will be available in our 10-K filing. I will now turn the call back to Vijay for closing remarks.
Vijay Kotte: Our confidence in our business and operational model continues to remain resolute. We firmly believe that prioritizing consumer needs and aligning with CMS, regulators, and health plan standards is a sound long-term strategy for our shareholders. Our focused business transformation efforts bolster our positive outlook. We are well positioned to overcome unique market dynamics and seize opportunities to further enhance the shareholder value. With that, we'll now take your questions.
Operator: Thank you. [Operator Instruction] Our first question comes from Ben Hendrix with RBC Capital Markets. Your line is open.
Ben Hendrix: Hey, thanks guys. Just a quick question on -- I appreciate the commentary about submission volume kind of in line with Medicare growth, but wanted to kind of just get your thoughts, kind of commentary on the overall Encompass platform. Has there been anything fundamentally changing about your ability to capture the growth opportunity in Medicare going forward? Anything in your Encompass strategy that's changed that we should be aware of? And kind of, how do you see that kind of on a competitive footing with your peers who may be still kind of pursuing the ASC 606 strategy, over the longer term? And basically, how should we think about the competitive differential between the two platforms, kind of given what we've seen this past AEP? Thanks.
Vijay Kotte: Yes, thanks for the question, Ben. Just that I've got the question right, effectively just thinking about are there any material changes to the way we are operating or thinking about our Encompass model and pre-funding specifically relative to the 606 versus 605 more like LTV versus the more Encompass pre-funded model. We -- just operationally, we are still very confident that the Encompass workflow that we put in place is the right thing for consumers and we are committed to that model. We want to make sure that we are continuously putting the consumer at the center of everything we do. And as part of that we think there are costs to running that business model that we are contemplating and appropriately investing in in the way that we get reimbursed by our health plans for that model. As you think about the overall market landscape, as we indicated, there is a lot of benefit instability that may be coming up in the upcoming AEP season and in future. And when you think about the market landscape in general. When you look two years ago versus this last AEP versus what we're anticipating in the future, consumers should likely shop more, which is what we've said all year. We want them to shop, we expected them to shop, they are shopping. But when it comes to the appropriate time to make switches, it is either because they've got incrementally much better benefits, or, in contrary, when they have a lot of change in their benefit structure. And what we saw in this last AEP, it was one of the unique AEPs where there was some negative, but really not a lot of changes, and so less and less of a reason for people to make changes. And when you have a high-integrity process like the Encompass workflow we have, you're going to deliver a result where you're just providing peace of mind as opposed to new enrollment. So just in short, we are staying committed and we believe there's a lot of future viability and excitement about the differentiation of the Encompass workflow. The quality is better and we're delivering a better experience that plays the long run with that relationship with the consumer. And as it relates to the market dynamics, we would expect that, as we said, in what we didn't do on LTVs, we saw some positivity on LTVs, or retention in the latter part of 2023, but in anticipation of some of the disruptions we expect going forward for the portion of the business that we still haven't on the LTV basis or 606 basis as you referred to. We were trying to maintain some conservatism on that as we continue to see the market dynamics play out.
Ben Hendrix: Thank you very much.
Operator: One moment for the next question. The next question comes from Pat McCann with Noble Capital Market. Your line is open.
Patrick McCann: Hey, guys. Thanks for taking my question. I was wondering, given that the number of Medicare Advantage plan options has been growing pretty rapidly, I'm wondering if -- number one, if you're seeing that trend continue? When you look at the carriers, are there more and more options hitting the market? And then, I guess, sort of a basic question would be, could you talk a little bit about how Encompass gives customers access to the largest number of plans possible even as those policy options are rapidly evolving?
Vijay Kotte: Yes. Thanks, Pat, for the question. Just to restate. One is, how do we think about the plan options increasing, following the trend that we've seen in previous years? And then follow-up was how do we make sure that the consumers have access to being able to decipher between all of those plans. Is that the right way to re-state your question?
Patrick McCann: Yes.
Vijay Kotte: So on the first one, it's an interesting question and it's really a health plan by health plan question as to who's going to be introducing or contracting the number of plans available. As I said in the previous response, there's offensive and defensive reasons why a consumer may want to make a change, right? And offensively, if their benefits in the market that they're in have significant improvement, right, then they might want to shop and potentially make a switch. If there's disruption in the marketplace of health plans leaving or degradation to benefits, it also triggers a moment where they should shop and likely make some change to the benefit choice. And so, we're anticipating more of the latter as we kind of heard some of the things from the health plans. Not to say that some might still not -- might still make some investments in benefits, but you're seeing the general landscape of what's hitting the challenges of the Medicare Advantage health plans profitability, such that there's likely going to be more tweaks and adjustments that require the nuance of our PlanFit technology and the trusted structure or the foundation upon which we operate the Encompass workflow. So we don't know per se if there's going to be a lot more. I would say my gut is probably not a lot of growth in brand new plans, but what we do know is, we've heard that plans are indicating they will likely be exiting certain geographies, causing some of that disruption, but still more to come, as we alluded to. And that the market dynamics won't really be known until much later in the year as to what's really going to happen on that. Now in the second question you asked about how do we make sure the consumers have access to all those plans? Well, we work with most of the major plans within the health plans in the country. Those health plan options, if they've got 50, 100, 300, they are all in our PlanFit tool. And so, ultimately, when our agents go through and do a needs assessment, they understand where the consumer lives, they get their Medicare eligibility to understand if they're eligible for SNP plans, meaning dual special needs plans, chronic special needs plans, or just traditional Medicare Advantage plans. And then we filter through their needs compared to the current plan and then lay out those top three to five options that are available to them based upon their specific needs. So we're really filtering down, regardless of if there's four plans available in that county for them that they're eligible for, or 150 plans that are available to them that they're eligible for, to drive it down to a handful, and then explaining to them what's the unique difference or trade-off between them. And so we believe that's how you're, one, taking that stress and confusion out of the marketplace and enabling the consumer to make an informed decision for them without pushing them down a path but enabling and empowering them with the data. So hopefully that's responsive to your question, Pat.
Patrick McCann: Thanks, that is. And then if you don't mind, if I could ask just a follow-up question to something you spoke about as far as the non-agency revenue and how it has eclipsed 50%, 60% in Q4. Given that, is there any color you could give as to your expectations for how that number will shift as a percentage of sales as we look forward into 2024?
Vijay Kotte: I think the way -- we're obviously going to continue to is that, we've kind of given you the directional qualitative commentary on what we expect to see in cash flow from operations. We expect to see that dynamic shift and potentially improve the cash flow from operations based upon more movement towards the non-agency model. That is a function of both mix of how growth happens within the marketplace, competitiveness of benefits, et cetera. But there's no doubt in the way that we approach the business, we are having a strategy to continue to try to shift more to that line. The question is, the pace at which that might run. We actually had a significant jump in this year alone, and we'd love to be able to see more of that continue to shift in that direction.
Patrick McCann: Thanks. And then, I was going to try to ask about the debt repayments, but Jason kind of covered that here just previously. So that's all I've got. Thank you so much, guys.
Vijay Kotte: Thanks, Pat.
Operator: One moment for the next question. The next question comes from Jim Sidoti with Sidoti & Company. Your line is open.
Jim Sidoti: Hi, good morning and thanks for taking the questions. Vijay, you've made several changes since you arrived in terms of staffing levels and strategies. I'm just curious, are you happy with the progress you've made to date and should we expect any big adjustments in 2024?
Vijay Kotte: Thanks Jim for the question. What we did when we first came here, if you go back in time, and I won't relive all of history, but first we were trying to stabilize the business, right? To really just stabilize things and understand where our strengths were, weakness were, to invest in the strengths and try to mitigate and control for those weaknesses and whatever market factors were playing in that. What we really doubled down on was that, we're playing a long game strategy, right? Part of the issues that we saw in the industry is the missing piece within healthcare, specifically within what was considered the e-broker industry was a lack of trust and consistency. And that was within all the parties involved. That was from regulators, that's from health plans, but from the consumers, et cetera. And so, we've really invested in the Encompass workflow and the Encompass process to transform that component of who we are to be a leader in proving that we can not just drive appropriate enrollment, but driving trust and credibility within the industry ourselves. And what we've done with the PlanFit space, what we've done with PlanFit Checkup. And again, to the extent that we're now in conversations with health plans to be able to be compensated for doing the right thing in those PlanFit space, is showing that we're really delivering an opportunity to provide peace of mind to the consumer, which we believe plays for that longitudinal relationship that we're building versus where the industry has been and where most companies have been, which is trying to just drive enrollments in the short-term period without thinking about supporting a consumer over a 15 year to 20 year life span or enroll and eligibility [Technical Difficulty]. So I guess my response to that is, yes I'm very proud of where we are. I think we're absolutely have laid the foundation of resetting where the industry is at of actually being a value add of not just driving enrollments, but driving feel empowerment to the consumers to make the decisions for themselves in a very confusing world. And I think as you are seeing in the diversification away from the LTV volatilities that have been there of moving to the nonagency line has also been something that we're very excited about. What we can't always control for, but we've built the model and we continue to find is how the health plans are performing in any given year, and how their financial translate into their investments and the benefits in any given year.
Jim Sidoti: And this kind of leading to my next question, have the health plan partners -- how -- what is their attitude towards this shift towards Encompass? Have they accepted this? Are they on board? And do you think other players in the industry will make similar changes?
Vijay Kotte: I'll answer the last part first. It's hard for me to assess what other players are going to do. I think everybody's got different strategies as to how do they address their short-term needs versus thinking about the long-term as to who they want to be, et cetera. But as it relates to the health plan, the health plans have leaned into this. As we indicated in the prepared remarks, we had nearly 75 plus percent of all of our enrollments run through the Encompass workforce. That is the multi-tiered approach, it is the high touch, really shopping experience that is truly unparalleled in the industry at this point. And the health plans have found that that is higher quality and resulting in better results. So they have definitely leaned into wanting us to continue that program and supporting us through that process. They wanted us to find ways to expand that program. As you know, we have downline agents who work underneath our umbrella, use our technology as well, expand that as well so that we can improve the quality of those downlines similar to what we've done with our internal agents. So we have definite strong support on it, pretty much driven off of the fact that we're delivering better quality, while still maintaining pretty high volumes at the same time.
Jim Sidoti: And it's clear that the shift has improved your ability to predict cash flows and receivables or from collection of receivables, but do you think it's also improved your ability to predict future revenues?
Vijay Kotte: I think it's from the stability of the revenue that we are booking and recognizing in a period, it is absolutely giving us better predictability of that. So when you think about cash and you think about the revenue you book in a period, so we can manage our cash flow in a much better way when you have the Encompass world with our shift to non-agency. And you also have an ability, when you book that revenue, as you saw in this last period, even with that Encompass workflow, we still have 606 revenue running through the Encompass workflow, such that that quality and predictability and stability of what we write under that is even higher. So we have a higher confidence in what we book on a 606 basis, because it will never go to zero as we've always said. And then you have an even higher confidence of what you book in revenue for that that runs through the non-agency line.
Jim Sidoti: And then just back to my initial question. If you have this better visibility on revenue, should we expect any major changes on investments and operating expenses in 2024?
Vijay Kotte: We're going to continue to invest. There will be incremental investments in technology that you should expect for us to continue to get standardization, systematic improvements in the experience for the consumer, more engagement points as we described, moving from just enrollment to more of that engagement, activation, and full support of the consumer through the process. So you'll see some more investment in that as we go into the year. And in most of that, we're finding internal opportunities to reallocate our dollars to make those investments within the company for the future.
Jim Sidoti: Great. Thank you.
Operator: One moment for our next question. The next question comes from Sandeep Soorya with Delaware Street Capital. Your line is open.
Sandeep Soorya: Hi, can you guys hear me okay?
Vijay Kotte: Yes. Hi, Sandeep. How are you?
Sandeep Soorya: Hi, good. Thanks for taking the question. I have a couple questions. The first is, how should we think about the proposed regulations? And how do we think about regulations in general on the Encompass business relative to the agency business?
Vijay Kotte: Great question, Sandeep. I think as we've all learned, it is really important to wait for two things when it comes to proposed regulations. As we know, this is an annual event. And there is a proposed rule, and then there is a final rule. And even after a final rule comes out, it's generally not specific enough to get clear guidance from it. You end up going to each individual health plan in our business to understand their interpretation of those rules. So I think it's a little too early as to understanding what it would be, what it could be, et cetera. What I would say is, we are generally in alignment with the concept of protecting the consumers. We want to make sure that there is more access to all the different health plans and the information around that, and that there aren't inappropriate incentives to sway that unbiased shopping experience. So, we've always been supportive of that, and I think we've proven in the last period that we're absolutely investing in that experience. And as we look at what the proposed rule is and what they're controlling for. I think they're really trying to find more and more ways to drive that, to support that experience. So we believe there's a lot of great regulations already out there today before the proposed rule that could lean into just really focusing on enforcing what's there with all the bad actors that are out there that are causing more of the noise than the problem. But that said, again, to your primary question, it's more left to let's see what comes out. Let's see what the interpretations of that are going to be. And I'm assuming most of what you're describing is less about operational workflows. I think we've proven that year-over-year, as there are changes like 48-hour other things, we're pretty nimble in being able to accommodate those types of changes when CMS has those. The real question is, the uncertainty around just like in the commission rates year-over-year, this same dynamic of now in the proposed rule if there could be impact to compensation. But as we think about our Encompass workflow specifically, that was built up on really doing a fair market value of delivered services for the activities that we are performing on behalf of the health plan. And when you think about that, that is a model that has full documentation and background behind it. So we're very excited about how that prepares us for what is to come, but again, we got to see the details of what comes out.
Sandeep Soorya: Okay, great, Thank you. And then how do we think about -- I've got a couple longer-term questions and I think I like maybe two to four years, three to five years, but how do we think about revenue growth, EBITDA margins and EBITDA growth? And then even looking at cash flow, you had a strong cash flow this year. How should we think about cash flow dynamics over the next few years as well?
Vijay Kotte: Yeah. I mean, look, I think as we've talked about and we've even given in our qualitative comments here today, we believe growing in general with the overall market, there's plenty of market share out there, right? As you think about the Medicare consumer groups growing, when you think about overall growth, that disruption factor that I described, on any -- if you think about over a long term with Medicare, those of us who have been in it for a long time, it goes through cycles, right? And so, when you have a lot of excitement and everybody wants to grow, there's a big cycle and that's, obviously, a point at which a business like ours in that industry is going to see growth. When you see that the dynamics are changing, right, in the market landscape, there are those inflection points where people are assessing and then determining what they're going to do with their financial needs and health plans. And so that was what we really saw in the last AEP. They were kind of testing the water, specifically on the non-special needs plan side. You saw that very little investment in aggregate in new products in that year. And then when you move into the other part of the cycle is when they pull back on benefits. That's actually, even though they're not as focused on growth, the shifting between Medicare Advantage plans for a company like us is also an exciting marketplace for it. So when there's a lot of new plans and interesting growing, it's good for our type of business. When there's a lot of disruption and they're switching the benefits up and even if they're not interested in growing, but they're contracting a bit, but there's a lot of switching around, that's also a good market dynamic for us. And that's the market we're expecting to go into. So, if we're any, call it five year period, you're going to see that type of a cycle generally happen in Medicare. It happens a lot and has over time. So as we think about how we think about revenue, margin expansion, and cash flow, the revenue line I've kind of given you a little bit of the indications of what you could see across that, of what market member growth in aggregate means that there's an opportunity to grow and then the volatility and the benefits will determine how much more or less you're going to play within that. And then as you look at margin expansion, we know that's within our control. How efficient can you be and can you continue to demonstrate efficiency and growth with the invested dollar that we have? And we're going to continue to invest in that, right? And we're pretty solid right now, but again, when you think about the core operations, it's really going to be the effectiveness of your marketing over a long period of time. So what I would say is that, we expect to continue to deliver some efficiency there over time, but it's not going to be by leaps and bounds versus what we've got today with the current enrollment business. But as we think about our expanding into being more of an engagement company, there are going to be some opportunities there with the efficiency of the minutes in the time we're spending with consumers on the phone. And then finally, in cash flow, I think what we've proven is that, we're diligent on making sure that the Member experience and cash are king as we deliver how we're going to grow and invest in the company. So we want to make sure that our cash flow is solid and predictable and not to spend money to chase revenue at any cost. So we're balancing that approach and we want to continuously show in not ingesting cash flow from operations, in total cash, in free cash, et cetera, and the way we think about operating the business that we're consistently delivering results. So as we think about overall growing our cash flow alongside with our earnings is the way we would think about that over the long run.
Sandeep Soorya: Okay, great. That's it for me. Thank you.
Operator: I show no further questions at this time. I would now like to turn the call back to Vijay for closing remarks.
Vijay Kotte: Thank you. And again, thank you all for joining today. Lots of really good questions. We are excited about where the business is to play for these long-term relationships. We've made a significant investment in those consumers who need our services the most. Trust and peace of mind in a complex and confusing world is critical. And that is going to be an important thing not just today, but especially as we go into this next AEP and as we look into the future. So we're excited about the value we can deliver to the consumers, to shareholders, and all the health plans and regulators involved, because we do believe that is the key to the future and we're very, very thankful to our team as we continue to invest in delivering that consistent experience. So thanks, and we look forward to speaking to you all again soon.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.